Operator: Hi, good evening everyone and good morning for our investors dialing in from the U.S. welcome to Ohmyhome Q3 2024 growth updates. Before we start, we would like to quickly go through the important notice and disclaimers. This presentation contains forward-looking statements that reflect our current expectations and view of future events, all of which are subject to risks and uncertainties. If used, the words believe, may, will, estimate, continue, anticipate, intent, expectations and similar expressions are intended to identify forward-looking statements. Forward-looking statements give our current expectations or forecast of future events. You can identify these statements by the fact that they do not relate strictly to historical or current facts. These statements are likely to address our growth strategy, financial results and product and development programs. You must carefully consider any such statements and should understand that many factors could cause actual results to differ from our forward-looking statements. These factors may include inaccurate assumptions or a broad variety of other risks and uncertainties, including some that are known and some that are not. No forward-looking statements can be guaranteed and actual future results may vary materially. Factors that could cause actual results to differ from those discussed in forward-looking statements include, but not limited to, assumptions about future financial and operating results, including revenue, income, expenditure, cash balances and other financial items. Our ability to execute our growth strategies, including our ability to meet our goals, current and future economic political conditions, our capital requirements and our ability to raise additional capital which we may require. Our ability to attract customers and further enhance our brand recognition, our ability to hire and retain qualified management personnel and key employees in order to enable us to develop our business trends and competition in the brokerage and related industry and other assumptions described in this presentation underlying or relating to any forward-looking statements. We describe certain material risks, uncertainties and assumptions that could affect our business, including our financial conditions, results of operations, Baltimore [ph] Filings we base our forward-looking statements on our management belief and assumptions based on our information available to our management at the time the statements are made. We caution you the actual outcome and results made and are likely to differ materially from what is expressed, implied or forecast by our forward-looking statements. Accordingly, you should be careful about relying on any forward-looking statements. Except as required by law, we undertake no obligation to update or revise publicly any forward-looking statements, whether as a result of new information, future events or otherwise after the date on which statements are made or to reflect the occurrence of unanticipated events. You should read our public filings and the documents that we refer to in this presentation with understanding that our future results may be materially different from what we expect.
Rhonda Wong: Hi everyone. Good day to you. I'm Rhonda Wong, CEO and co-founder of Ohmyhome. Thank you very much for joining us today. We founded Ohmyhome in 2016 and that's Race Wong and myself in the image. We're sisters. Born in Malaysia, raised in Singapore. We started Ohmyhome with a background in property transactions and also trading. And we realized that there is a huge market gap where a lot of people who are selling and buying infrequently do not quite have the right knowledge or information when it comes to real estate transactions. And we're very much relying on real estate agents to provide information. So we have since become Singapore's largest integrated property transactions and services platform. Many people call us the One-stop Shop which means that aside from buying, selling and renting with Ohmyhome, you can also secure mortgage, legal services as well as renovation and property management. Our vision is to be the most trusted and comprehensive property solution for everyone. And by everyone we mean people including those who can't afford services or agencies as well as the rest of the market from investors to your daily folks buying and selling for the first time. In order to achieve scalability and to be able to serve more consumers across the world we then use technology to bring speed, ease and reliability to property related services. So we're very happy to share and present our results today and today's presentation will be led by our Director of Finance, Leo [ph] Li.
Unidentified Company Representative: All right, thank you Rhonda. So first off, just a quick overview of our latest cap table. So our ticker symbol is OMH traded under the NASDAQ Exchange. Our IPO was last year March 21 and our current share outstanding is at 23 million shares as of the latest of yesterday. Now share price as of yesterday was $0.44 USD and our last 90 days average trading volume is 135,000 shares per day. Analyst ratings by Maxim and Zacks are sitting at $1.5 and $3 respectively. On 6 September 2024, the founders, which are namely Race and Rhonda Wong, have actually exchanged half of their monthly salaries from January to August 2024 into ordinary shares and those shares were issued on October 4, 2024. And so this green section here that you see are the additional shares that are being acquired by the two founders. This has shown that the founders believe in the business and is committing -- basically it's committing, committed to the business and willing to come in more later on. Later, we will share the reason why and primarily is because of the growth of the business that we are seeing. So we are a property one stop shop and this diagram encapsulates all the businesses that we do, so our customers can come in from every part of their lifecycle with [Indiscernible]. So let's say if your if your property potential buyer or a seller usually will start with the research section where you will look at free blogs valuation of the homes and look for guides and some of those who may be thinking about doing it by themselves with the time and energy to do so, they will do so via our DIY platform with verified listings by homeowners. The majority of our customers actually prefer to have an agent to help them transact their property and all of our agents are in house and then they are also top 1% in Singapore in terms of number of transactions across the entire Singapore. We usually charge around 1% of the property's value as a commission revenue for our brokerage business. To support our brokerage business and also to help our customers close faster, we also work with all the banks to provide mortgage to all of our customers and also work with a panel of trusted law firms to provide legal conveyancing services where we acquire advertisement revenues from them. And during the process, ofcourse in Singapore it is very common for homeowners who just purchased their home to look for renovation. We are also the main contractor in renovation business that has the in-house interior designers as well as project managers to help design and build their dream homes for our clients. So for this segment we typically service high end condominium homeowners, land homeowners as well as office renovation projects. Lastly we have the third business units which is also prominent business units is the property management business where we are the managing agents for multiple condominium projects that basically we help them manage all of the common areas and allow them to allow the residents to book all of the facilities such as tennis court, such as sauna room etcetera and we collect property management revenue from them. A quick recap of our first half of 2023 [ph] results in case some of the investors here missed it. So in the first half we have seen a stellar growth of 106% in terms of revenue. So our revenue grew from SGD2.17 million to SGD4.47 million. Our gross profit has almost doubled and this is mainly due to a margin improvement across all of our businesses. So our brokerage has increased its gross margin from 46% to 49%. Our renovation business has also increased its margin from 23% to 28%. Our property management business has also increased their gross margin from 31% to 33%. We are still incurring a loss, although the loss is narrowing because we are continually investing in the technology, the loss has been narrowing. So we have seen a net decrease of 220,000 compared to the same period last year. OpEx remained high in the short term mainly due to a recent acquisition of the property management business and we still need some time to optimize the cost that involved. There's also an increase in amortization expenses of 440,000 in the first half of 2024 versus only 180,000 as compared to the same period last year. So the operating expenses expected to reduce significantly from the third quarter onwards, mainly due to a series of cost optimization plans that we have initiated in the second quarter of 2024. So we expect this number to narrow significantly going forward. In terms of balance sheet wise, we have also seen increased improvement in the balance sheet count. So we have seen an increase in assets, decrease in liability, which lead to a net increase in equity. Cash and cash equivalent, we have also rebounded to a healthy number of SGD2.4 million and this is mainly due to a placement that we have done in the first quarter of the year to execute our strategy for further growth and breakeven. So now come to the important part. We would like to summarize our presentation to three main key points. One is that we are a high growth prop tech company. Secondly is that we are a business model that is highly profitable at scale and certainly currently we are trading at a low valuation multiple as compared to what's happening in the industry. So with regards to the first point which is high growth top tech, I'll go into the detailed numbers here. So for the third quarter of 2024, what we are seeing is that for the first nine months of 2024, what we are seeing is $212 million in terms of the gross transaction value of the homes that we have brokered. And this number has a 51% increase as compared to last year. We have also seen a significant increase in the renovation contract that signed for the first nine months of 2024. So the contract we have signed so far is SGD2.43 million. And this is essentially close to 300% of what we see in the same period last year. And in terms of the units under management by property management business, we have seen a significant growth compared to the 6,700 units that we managed at the end of the year. Now this number has increased to 9,283 and this represents a 30% year-on-year increase. In terms of total property transaction GDP we are looking at SGD334 million which is similar to last year, but out of that 63% has gone through our agent as compared to only 42% compared to the same period last year. So lastly of course profitability and maintaining cash balance is always a focus for us. So as of the September 30, 2024 our cash balance sits at 22.1 million and this actually increased from the last reported figure which is 1.8 million in June. For brokerage services we have seen a steady increase. So this graph, the orange bar represents the number of transactions that we have done by our agent team and the blue line represents the gross transaction value in USD millions. As you can see, both have seen a healthy increase over time and for the first nine months of 2024 what we are seeing is 51% increase in the total GTV. And in terms of the number of transactions we have seen a 32% increase for the first nine months of 2024. We have also seen an increase in gross margins. This is primarily due to improved brand awareness that we have in the market and also primarily contributed to the HomerAI launch that we have done in the second half of 2023. So to recap for HomerAI, this is actually a one of a kind homeowner focused platform that streamlines the home selling process. So this is available on both application and mobile so you can simply just search HomerAI and this is available currently only for our customers in Singapore. So what you do is that you actually will be able to see accurate valuation of a home that is live, that's updated by what's happening in the market and also supported by tons of guides data about recent transactions and also our service is always just one click away for you to engage us. So this allow us to build a sales pipeline for mid-to-high intent sellers and provide us with first access to customers upon their intent to sell. And because of the higher customer lifetime value that we have versus via a single customer acquisition, this allow us for a core focus of user acquisition strategy going forward. So in terms of the growth of the product on its own, what we are seeing is in the third quarter of 2024 we are seeing close to 10,000 homes connected. These are homeowners with their registered address, with their registered phone number that we know exactly who they are and know how to contact them. And by studying their behavior on the platform and how they use our data we are able to know when to target them, when we to target them exactly. So as you can see, this number has increased steadily. And for the GTV that's transacted via homeowner users, this number has also increased steady over the years. So this total homes transact -- I'm sorry total homes connected right now it's around 33,000 with over $20 billion of gross merchandise value of the homes connected that's waiting to be transacted. So the transaction that's contributed by HomerAI users now grew from 0% in the start when we first develop it to close to 20% of the total brokerage that we have done. We have also been developing new features and products that allow our users to do more. So one of which is that HomerAI user now are able to post their listings directly on the app if they have the intention to do it themselves. And they are able to know the latest valuation, upload their homes and then we are even able to pre-draft some of the messages for them via AI and also lastly able to help them fill in the critical information. So it's just one click away. So why people love us there are multiple reasons and most importantly is that we are the future of property transactions. So because of the technology that we have that we show you just now does a HomerAI and one of which is another one that we have shared in previous presentation which is the MATCH technology that actively matches the buyers and sellers. We are able to transact 65% of our deals in seven days on average. And 73% of our properties are sold above market average prices. And most importantly is that the experience that we give to clients basically help us get the 4.9 star, our 5 star rating across all of the platforms that you can see out there including Google and Facebook. These are generating reviews by our customers having used our services and were impressed by our services. Compared to some of the well-known names out there in the market as the traditional brokerage or the TEB out there. So compared to we are much more efficient with the use of technology. So each one of our agents are able to transact 60, 70 deals a year. So average number last year for us was 63 deals per agent per year. And comparing to all the big names out there, Propnex Era, Orange Tea and Hudson Asia, which they do have a large army of agents. But in terms of how many deals each agent do on average their number hovers around three to four to five which is typical number that an agent does in the market when they're operating as a freelance model. And for us, because we operate a very close knit and also supported by technology, we are able to close a lot more. Each one of our agents are able to close three, five deals or even more a month. So what they do in a year usually is what we do in the year in a month. Even comparing to some of the well-known names in the U.S. this same matrix we also come significantly higher. So REFN [ph] is the only close comparable that we see with some of the leading names out there including Compass and EXP, who are also hovering around five to seven deals a year. So the next section coming to renovation. Our renovation is operating under the name DreamR. We offer premium renovation services as the main contractor to help customers realize the dream home. So customers usually follow four simple steps to actualize the dream home. So one is that they can book a consultation with us to share with the vision. And of course in the process we translate their vision into ideas, into cohesive designs. We also have in house team of project managers. Unlike many companies out there who operates on a freelance model whereby one person acting both as sales as an ID as well as the project manager, that model usually leads to a lot of cost overruns or a lot of inexperience causing issues with design. But for us, we are a team of professionals that specialize in the field. That's why we're able to manage each and every project so well. So we have a specialized team of project managers to ensure the timeliness of delivery and the accuracy of what we are building for the customer. And lastly, we have a dedicated team to watch over every detail. So you will be handed a beautiful home on time. And we are particularly proud that we have been on time for the past two years due to our strict control on design, quality, cost and timeline. So for renovation sector, specifically in terms of numbers, in the third quarter of 2003 we have signed close to USD1.5 million worth of contract compared to the same period of last year, we have seen 400% growth. For the first nine months combined together, compared to the same period last year, the number the growth is 286%. So this is mainly due to a focus on higher value customers and also improved fuel flow for the high end residential and commercial projects that we are ticketing. We have also built interesting tools and features for our customers to pre generate their ideas and basically help them with mood boarding before they come for consultation. So one of which example is this, that this is the original photo that's on our listing. We are able to use AI to regenerate in the style that we want in HD. So as you can see on the left side, this is what the homeowner takes and this is what's generated as one of the styles. So on all of our listing page right now, you can actually click on this icon and try it out for yourself. And this is actually a feature for free for everyone to use. This is a tool that it's available for everyone to use and try it out. So this is an example of this listing has been sold. The listings tend to stay [ph] very short live on our shelf because we sell them by fast. So this is one listing, as you can see, you can select in multiple styles and you can see it beautifully designed in different styles. So all of these are done by AI and then you can reimagine your home in the way you want it. So to the next segment which is Ohmyhome Property Management, this is a segment that is also actively growing. It is a tech enabled property management company in Singapore with a recurring revenue stream from facility management businesses, which means that they manage the security, the cleaning, the repairs of all of the common facilities, the facade, as well as doing the counting as well as bylaw enforcements for the MCSTs which are the equivalent of homeowners associations in Singapore, but they are for condominium projects. They are high rise and high density projects in Singapore. So currently they're managing over 30 plus condominiums projects and this amounts to more than 9,000 units that are under their management. So this is an impressive growth just within three years of inception. And what it means to the bigger part of the business is that they provide valuables. Sorry, let me just go back and reshare the screen. Okay, there you go. Now it's full screen easier for everyone to see. What it means to us is that it actually provides a higher end of customer base for us to target and market to, which provides us with two to four times of what we had in the past in terms of brokerage revenue per sales transaction. In terms of renovation revenue is also two times higher compared to what we had before. And this is a huge customer base for us to nurture and for us to provide our service to. They are also a mobile based property management service which with 100% privilege workflow, all of the task management, the back end, contractor management, documentation all happen at the backend. What's happening in the front end for all the home users is that they are able to book all kinds of facilities, they are able to submit all the forms, make payments for various service requests, all of it on the phone. So this allow them to look at our advertisements and look at engage all of these services on a day to day basis and allow us more transport conversion. They are also a company with smart integration capability. They have integrated multiple IoT solutions including visitor management systems and license plate recognition systems and this also because of the introduction of technology. They are also allowing their customers, which are the MCSTs, the homeowner associations, to reduce costs and improve the stock price staff productivity on site. So in terms of numbers, the units under management is an indirect indicator of their revenue growth because usually each and every single unit that we manage represents a monthly recurring fee that we are able to collect from individual users. So as you can see over the past few years they have been growing steadily from around 3,000 in 2021 to right now the latest number is hovering over 9,000. This represents a 34% increase compared to the last reported figure in December 2023 which is 6,700 units. This provide us with additional recurring revenue and customer base for our brokerage and renovation services. Around 1.5 thousand units were newly added in October and will contribute to revenue growth in Q4 2024. So these are some of the projects that we have recently been appointed in third quarter in the third quarter. This is Affinity at Serangoon which is a huge project that's sitting in the heartland of Singapore. We also have Parc Mondrian, Stirling, Watten Residences and LIIV Residences. As we grow further we will start to acquire more and more all of these condominium projects and as a matter of fact we start to encounter many partners and many customers who happen to be residing in our condominium in the condominiums that we manage as well. So as we grow this will provide additional recurring revenue and customer base for our businesses. Our three key drivers for our short to midterm growth are firstly to aggressively grow our top funnel to aggressively grow our top funnels by increasing our condo acquisition and unit under management of our property management business and secondly increasing B2B partnerships to grow new funnels for customer acquisition. Secondly we have all of our tools including HomerAI as well as match to be able to nurture our clients 24/7. So answering questions promptly with our increasing headcount and lastly and also engaging customers from earlier stages of life cycle so we are able to convert them to become outgrained customers. And lastly, we are also in we are also working to increase the conversion and market share in the condo market by better nurturing via AI to result in higher conversions for our customers and also to increase our market share in the condo market this also means that our revenue that come from the market will be two to four times of what we have in the past when we were focusing on the HDB market. So the second point of our, of our three key highlights for our investment is that our business is actually highly profitable at scale and this is actually 13 times of customer lifetime value. So allow me to explain further what I mean by that. So compared to traditional brokerages or a lot of tech enabled brokerages out there, we are very different fundamentally in terms of our business model. So most of the agencies out there, here in Singapore, in Southeast Asia, what we do is that when one commission comes in, let's say it's $10,000 worth of commission, typically what happens is that 90% to even 95% of commission will be paid to agents because each and agent are essentially freelancers and they manage their own expenses and the customer engagement. Whereas for us, because we are a team serving customer, we are able to retain much higher in terms of gross profit that we have. So our gross margin usually hovers around 50% and then the 50% that we pay out are usually inclusive of all of our agent’s salary, our co-block agent’s commissions or our incentives as well as property listing expenses. So this is a significant improvement as compared to the typical model where we our gross profit margin is five times of what a typical transaction has. And then in order to achieve 10 million in brokerage gross profit, usually for these kind of cases they will require 10,000 deals, but for us we only require 2,000 deals. So we are able to achieve profitability with much lower amount, much lower number of deals. And then for the traditional model, usually it's hard to get into, it's hard to reach further down the funnel to be able to engage customers for other services because usually it conflicts with agent site interests. But for us, because we work as a single team and we also actually provide services to the customers directly, we are able to earn typically 40,000 worth of gross profit coming from renovation deals. So our renovation deals hovers around 2,000 to 200,000 to sometimes even as high as a million dollar contract. And in terms of the revenue that's coming from property management business, it's usually at $400 per year per unit. So adding all of this together in terms of gross profit, we are seeing around close to $13,000 in gross profit for one single customer that's coming to us as compared to only 1,000 gross profits profit for one customer that's been transacted by the traditional model. So throughout this whole cycle one customer is worth 13 times more compared to traditional brokerage model. And that's why we have a very highly profitable business when we are reaching age scale. And lastly, we also trade currently trading at a relatively low valuation multiple and what we are trading at currently is at a revenue multiple of 1.3 times. So what happened recently in the industry is very interesting. Property Guru, which is another listed company as well coming from Singapore and then they were recently acquired by EQT which is a private equity fund with a valuation of $USD1.1 million. So this is actually close to 9 times of their 2024 projected revenue. So this multiple is actually significant higher than what we are trading at. But partly could be due to the fact that due to the fact that we don't have a lot of people know us yet. So as we market ourselves more and more to more investors, hopefully this will be spread out to more investors out there to know that we currently have a low valuation multiple compared to what's happening in the market. So these are three key highlights I would like to just reiterate once again. One is that we are high growth top tech company. Secondly, we have a very high, highly profitable business model at scale. And lastly we are currently undervalued as compared to what we are seeing in the industry. So in terms of our long-term growth strategy, our core focus is still on increasing market share in the existing market and expand our geographies. Secondly is to acquire and partner with companies whose offering accelerate our growth and lastly increase our service offerings so we can become a property super. Our company is also managed with a very experienced board and management team. So Rhonda and Race Wong are our CEO and CEO respectively. Sitting on our Board of Independent directors we have our chairman who is a Mr. David Loh who is also the Chairman of Centurion Corporation which is a well known student condominium developer and manager for student accommodations around the world. And it's also a listed company in Singapore. And he's also a director at Grab Holding, another well-known tech company in Singapore. And then we have Mr. Lee Wei Loon who is our Audit Chair who was the -- who is the CEO of Watchbox Asia which is a luxury market watch marketplace. And he's also the former director of Investment Banking division at Morgan Stanley Asia. We have Mr. Lim Khoon who is the Chairman of Nominating Committee who is a partner at Eldan Law. And lastly we have Galven Tan. He is our Chair of Compensation Committee, CEO of Knight Frank Singapore another well known property management company in Singapore and he was also the former Deputy Managing Director at Savills. So now we have come to the end of our presentation. And now we would like to open the floor for any questions that you may have.
Operator: [Operator Instructions]
Unidentified Company Representative: Hi Alan. So together with us we have one of our analysts on the call, Mr. Allen Klee from Maxim.
Allen Klee: Hi, can you hear me?
Rhonda Wong: Yes.
Unidentified Company Representative: Yes, yes, we can hear.
Allen Klee: Oh, hello. A couple things stood out. One, I heard you say that you increased your cash levels. How? I was curious how you were able to do that.
Unidentified Company Representative: Well, as we have mentioned in the presentation earlier that we are very focused on of course, our operating efficiency. So what happened is essentially we, we have closed a lot more deals and we also have closed a lot more renovation contracts that allow us to build our cash flow in the short period of time. And also our losses has been reduced significantly due to some of the, due to some of the initiatives that were taken in the second half of the year.
Allen Klee: So that...
Unidentified Company Representative: Sorry, Ellen.
Allen Klee: Yes, no, go ahead.
Unidentified Company Representative: I also saw Derek asking some elaboration on the cost of generation. So this is not rocket science, essentially is that we have looked at all of our internal headcount, we have looked at all of the resources and spending that we have. We have optimized them to make sure that every single dollars and cents are being optimized and achieved the ROI that we want them to achieve. And we have directed some of the resources into marketing so that we are focusing on generating revenue and growth as well. So this is the results of both an increase in sales and revenue that we've seen in the third quarter as well as a reduction in the cost that we have been spending.
Rhonda Wong: So our acquisition into property management has assisted us as well. So with the thousands of units under management, we're able to better offer our services without engaging into every single customer acquisition cost. For each of these conversions, we have also increased our partnerships. So we've partnered with various partners, even from SMB coffee shops to different finance insurance partners. And this has helped us increase our lead generation as well. So in the past, before all of these activities, as you can imagine, all of our acquisition would have to be done by a lot of paid marketing. So as a company running into our eighth year right now, we're definitely looking into how we can generate more activities to increase our organic reach into customer acquisition. So we are currently the highest rated brokerage prop tech company in the entire country or even in the region that we're in, in Southeast Asia. We have over 8,000 five star reviews. So one of the slides that we had with all the top brokerages in where we are in Singapore, you'll find that if you search their reviews, it would not be comparable to Ohmyhome. And the reason is exactly why we started Ohmyhome because actually in the industry there are a lot of complaints about agents, dishonesty, opaque information, costly services, so we created Ohmyhome to hopefully, be able to better serve our customers. And thus far we have done that to a large degree where we need to keep growing is ensuring that our good services, where we're able to sell faster than almost any other company in the market, we're able to transact faster, we're able to achieve higher prices. We have achieved this item in terms of KPIs, but what we haven't achieved is that we have not reached out in terms of our marketing, our branding to the rest of the market. As you can imagine, if you are selling a home and that Ohmyhome can sell it faster and at a higher price for you, it's quite a no brainer to engage us. If you're renovating your home and you know that we can be on time, we're cost competitive or designs are excellent, again, it's a no brainer to engage us. So definitely our goal as we continue to cost optimize is also to expand our reach more organically so that we don't have to keep increasing our marketing costs linearly. And with that reach we would like to be able to keep reporting to stronger numbers and be profitable.
Unidentified Company Representative: We have another question. Sorry Allen…
Allen Klee: I was just wondering if you could give us some commentary on the Singapore housing market overall and the economy.
Rhonda Wong: The Singapore housing market is generally very vibrant and the reason it is so is because there has been a lot of government regulations, pricing control, tax control to ensure that the market doesn't get overheated. So what happens? Like how can it be vibrant when it's controlled to not be overheated? So what happens here is that over the last 10 years the government is trying their best to make sure that Singapore doesn't become like a speculative property market. So over the last 10 years what has happened is that most real estate owners in Singapore are very cash rich and that means that in the event of higher interest rates, in the event of a not so good economic situation, there is no need for anyone to both sell their homes or sell at a huge discount. So most of the time, because of the taxation here, property owners today who have owned multiple properties tend not to dispose of their properties. They would dispose of other assets because it cost them more in future if they wanted to acquire the property. Again because of the way tax works in Singapore. So that's one part. The other part in terms of the market is that overall when the interest rate marks and the interest rates are high across the world, generally Singapore interest rates are quite low. So when it was high we were high for us is about 3% to 4% and then low for us is about 1% to 2%. So we're seeing interest rates coming down. So we're seeing more activities as well. Overall in the market in terms of the Singapore transactions dynamics, where it comes to our business, we're not quite concerned if the market goes up or down as long as there's transactions. So in Singapore, there's about 40,000 sales transactions a year. You can estimate another 100,000 of rental transactions. Now this number obviously compared to if you were in the States or some of our listeners are from India, it's a very, very small number. But the beauty of Singapore is that it's one of the most expensive real estate cities in the entire world. So every transaction actually is worth a lot to us. So a government property would cost about 350,000 USD a week. So 80% of Singaporeans live in there. And then the private properties would easily cost you anywhere between USD1 million to USD5 million per property. And we're talking about multifamily homes that are quite small. About 2,000 square footage would be considered as quite a comfortable size home. So that's the property scene in Singapore. And what we're seeing is that with the interest rates coming down, we're definitely expecting more activity. But either way, the transaction volume has still been quite healthy over the last few years that we've been around. In fact, we started at the worst time of the market in 2016. So this was off the back of the first government, huge taxation on property purchases. But we wanted to start then because we felt that if any help was needed in the market that would have been the best time. So that was why from the time we launched Ohmyhome, within four months we became the number one prop type player in the market. So we're still working hard and looking to continually spread our brand, our efficiency, our services in terms of the one stop shop and be able to gain more customers across the region. Derek was asking if the higher agency TV is on lower transactions, is it due to more condo transactions. Definitely. So with the acquisition of the property management army we're definitely seeing more condo transactions, more condo customers with us. That is on the part of the acquisition. But separately, on the marketing front, we are also actively increasing our deal value per transaction. So that's why you heard Mr. Leo Li previously sharing about how our renovation deals are getting larger because we're dealing with higher net worth, higher value renovation deals. So these days we tend not to, we tend to only work on deals, renovation deals that are above U.S. dollars, $200,000 per contract. We find that we do very well in that category and upwards. So that's what we've been busy with. So when we are growing the department, even I myself, with my co-founder Race, we're very hands on in terms of understanding the market, the materials, the customers that come through because we're very determined to grow dreamer [ph] into a much larger and famous renovation firm.
Unidentified Company Representative: All right, Allen, do you have any further questions or comments?
Allen Klee: I think you mentioned this, but if you could highlight kind of how the combination of using the property management business and your AI tool have been able to grow business and where you think you are on that in terms of like the opportunity of continuing to do that. Thank you.
Rhonda Wong: Thank you, Allen. And it's a good question on top of Derek question about HomerAI. The beauty about HomerAI is not just because it's trendy in the AI world. I was just in LA and Vegas two weeks ago and we were actually in conversations with some of the prop tech names that you saw on the slides. We're actually pretty good friends so we're always exchanging ideas. And the beauty is that the AI that we have already implemented in Singapore in Ohmyhome, it's actually not seen and not available in the state. So, since the time we listed, I know a lot of questions that came in before was about how are we expanding into the States as well. It's always definitely a work in progress because it's a much larger market for us to apply a good technology. So HomerAI, the beauty about that is that of course in the construction and the building of HomerAI, it cost us a lot. So why does a company that runs such high gross margin businesses across all streams continue to run losses in the past eight years? The reason is very much because the building of this technology is very expensive. When we build this technology, whether it's for 100 users or a million users, it costs pretty much the same except for server costs. But the building of it in terms of the tech development cost is pretty much the same for us. The beauty of Ohmyhome and the HomerAI technology is that we have. It's ready. So right now we have this amount of users that's currently using our platform. 10,000, 20,000, 30,000. But whether it's 10, 30,000 users or a million users, the platform actually becomes more and more alive the more users we have. And what it does for our margins in the future expansion is that the conversions become more affordable. Why? Because these are people who are not looking to sell their home today. But they're on our platform, they're getting nurtured, they get information on their property, they get information on their valuation, articles on what they should be doing about their property, what's the best time to sell? How's the interest rates going? Do you want a better mortgage package? So all of these extremely useful tools are constantly available to them. And in the event someday that they're looking to sell, they have all the recent transaction prices, the current market asking prices, and we would like that in this conversion journey, they will then choose Ohmyhome as the company to sell, buy or rent for them. So what we have seen in the past eight months or so of running home very aggressively this year is that it has helped us with our conversions. But is it making our conversions a lot cheaper? I wouldn't dare go as far to say that, yes, it's so much cheaper now because the number of users, we're still growing, so we need to continue to grow our users such that you will see the results as a company will see the results in the future. So in an idealistic role, if we can get, for example, the entire Singapore homeowners on Homer, then obviously at the time that they want to sell or renovate, we are constantly in their lives without them having to pick up the phone to call their agent or their friend or someone who's more knowledgeable than them. So that's what we've been working on this whole time. We are actually solving our solutions stemming from problems that frustrate us ourselves. So you can imagine, as we run a team of agents over the last eight years, and before Ohmyhome, I was also working with agents. Some of the frustrations we have is that good agents are rare and few. There are good agents, but they are not the majority. So what happens with that is that not if they are good agents. What we define as good agents is they are prompt, they're good at closing, they love their customers, their customers love them, they're honest, they're actually good at their job. But after all, they're humans too, so they can't be replying to messages all day. And they may not always be accurate. So where AI comes in is that anytime you're looking for the answer. So, for example, if you ask an agent of yours, a broker of yours, wherever you may be, their question of what's my recent transactions? The answer will be like, hey, it's hovering about this price. And let me check, let me get back to you. But on HomerAI or any of our Ohmyhome tools, you'll find that when you ask this question, you immediately get a list of the answers. And these are accurate answers. So that's the beauty of AI which is that we want to answer accurately. We want to answer round the clock. Well, so then what happens to our agents and brokers, right? What happens to them is that they then spend all of their time more committed and more dedicated to sales closing. That means the part of the journey that a consumer just prefers to have a human involvement. And of course, where we're heading towards is that this human involvement, it's not as necessary as before. So have we required a human agent involvement in the past? 100% of the journey. Today at Ohmyhome, you probably only require an agent 30% of the time in your entire 100% of journey. So assuming from the time you think about selling to the time you complete your sale is 100% time today, you probably need to see our agent 30% of the time or less. So that's where we're heading with our technology, where you need them less, but you actually have more accurate information, better services. So we're very determined to continue building this. And again, the solution stand from the frustrations and the problems in the market. So we're still very passionate about our business and we want to grow this. We want to expand this beyond our shores of Singapore Island. So that's what we're working on every day. It's a very, very fun job for us. I know sometimes, as if -- if some of you are investors, it might be quite disappointing, right? Looking at the company you invest in, not doing so well in the stock price front. While we may not be able to actively do much about that, I see a question about how do we attract new investors? Apparently, we haven't done that very well. But what you can be very assured of is that we're 100% committed in winning this game, and we're 100% committed in having more customers, if not all customers be with Ohmyhome at some stage of their journey.
Unidentified Company Representative: Right, thank you Rhonda. But to add on to part of the question, to add on to your answer. Right, so one of the questions that I think Allen was asking was regarding how these two products have been integrated with each other. So this is on the right side is actually a screen of the application of simple app, which is the condominium app that's being used by the over 9,000 units under management. So on this app, as you can see, you can book various activities, look at announcements, requests for services and then at the bottom right corner you can see HomerAI. This is where you can click in and start registering your home. And here is a hook that we can hook the homeowners to let them have a price discovery process for their home. So a lot of times actually most people may not think actively about their home or thinking about selling the home because they do not know what's the latest price of their home. And after the price discovery process and this is actually an important hope for them to get connected to HomerAI. And that's how we convert users from this platform to our platform. And as a matter of fact we also getting these two platform to be more and more integrated. So in the future it could potentially be so highly integrated that you can just connect one app to another with ease. Right. So to answer I think Linda's [ph] question as well with regards to what we're doing to attract new investors to increase press release in the U.S. yes, we will very much like to resonate what Rhonda mentioned, but the core focus of us is still on the business itself and focusing on executing our strategy. As some of the investors here may know that actually going for conferences and all of that, it's relatively costly process for us. Unlike companies in the U.S. whereby you can just, fly and drive around the U.S. before us flying over their accommodations and everything that could power price and causing quite strain for us. We would rather focus on investing that on growing the business which will return long-term value for all of our shareholders here instead of having to rely on rely on external funding to help us continue fund the business. So this is a very important focus for us. But that means that we still will be increasing our exposure. So while the press release regarding this webinar has already been out. So do stay in touch and then follow all of the socials at the bottom of the press release to follow our latest updates. So from time to time we also provide updates on our business via our LinkedIn profile via our Twitter via our Facebook as well Instagram so do follow them and see what's happening with us and then what we are doing sometimes we do have some exciting things that we are going to uncover in Singapore as well so do stay in touch and do follow us on all of our socials to find out. All right, I think that our time is running short and we need to conclude the session. Thank you Rhonda and thank you everyone for attending. Thank you Allen for your questions.
Rhonda Wong: Thank you everyone and do check out our latest videos that was done for the United States. We toured some properties in LA and we're just released those videos, so do follow us for all of the different updates that we have done at Ohmyhome. It's been exciting. We've been quite happy with our work here, so we hope to see you again at our next update.
Unidentified Company Representative: Right thank you everyone. So for any questions or any further information feel free to visit our website at www.ohmyhome.com and our Investor Relations website, ir.ohmyhome.com. And if there is any questions, feel free to email ir@ohmyhome.com. Thank you. And have a great day.